Operator: (Operator Instructions) Welcome to Pall Corporation’s conference call and webcast for the second quarter of fiscal 2009. We’d like to remind you that the Company’s second quarter press release is available on Pall’s website at www.Pall.com. Management’s remarks this morning will include forward looking statements. Please refer to slide two or request a copy of the specific wording of this qualification of the company’s remarks. Management also uses certain non-GAAP measures to assess the company’s performance. Reconciliations of these measures to their GAAP counterparts are included in the slides at the end of the presentation. At this time I will turn the call over to Mr. Eric Krasnoff, Pall Corporation’s Chairman and CEO.
Eric Krasnoff: I’m here today with Lisa McDermott our Chief Financial Officer and Frank Moschella. After dodging the economic downturn for most of calendar 2008 the weakened economy and strengthening dollar caught up with us in the second quarter. Pall’s market and geographic diversity provided some shelter. Our Life Sciences market stood up relatively well particularly on the bottom line. Pall Industrial with its multiple exposure to markets in the teeth of the recession had a tougher go of it, yes Industrial too was able to partially mitigate the effect of reduced revenues on our profitability. This is not by chance, our well established productivity improvement and cost reduction programs have been further invigorated to stay ahead of forecasted changes in market demand. The results can be seen in the 110 basis point improvement in gross margins in the quarter. Our ability to respond contributed to a $13 million reduction in SG&A compared to the first quarter. We are now executing on further plans to align operating costs to the current business climate. We are managing to the current reality and just as important Pall Corporation is preserving its long term perspective. Pall should be quite well positioned when the economy rebounds. While the timing and triggers of economic recovery are unknown at this juncture what is clear to us is that the long term drivers for Pall’s enabling technologies are as compelling and numerous as ever. The basic drivers of our business apply in good times and in bad and in fact the benefits we bring become even more important when our customers businesses are stressed. Pall Technologies are key to product and process quality, meeting regulations, and reducing operating costs. The current economic environment creates opportunities to engage customers differently and to take our total fluid management capabilities in new directions. Companies want more now then ever to partner with suppliers who have the clear strength to support their needs during this downturn and the wherewithal to deliver on promises in the future. We believe Pall is one of those companies. While we are clearly seeing customers working down inventories to conserve cash they will ultimately have to reorder. Filters are not discretionary and they don’t last forever. We believe for some markets this inflection point is not far off. Many pharmaceutical companies have reexamined their CapEx budgets and worked down inventory though for the quarter. Other Life Science markets are relatively unaffected by the economic crisis. Plasma fractionators and vaccine producers are among them as are medical device manufacturers. Their businesses are going full throttle. The vaccine market of Pall, strength is projected to reach $36 billion a year in four years from about $22 billion today. While there is some softness in the Biotech market the underlying market is sound as are the long term opportunities. The fact is 633 high filtration dependent biotech drugs and vaccines are in development for more then 100 diseases. We are seeing many regional pockets of strength. Some example; military sales increased 13% led by a 27% growth in the Western Hemisphere. Municipal water grew 56% in the Western Hemisphere and food and beverage grew 33% both in this hemisphere as well as 16% in Asia. Transportation within the A&T segment grew 46% in Asia. Cell Therapy grew in triple digits in Q1 and Q2 albeit off a smaller base. Hospital Infection Control Products grew 12% in the Western Hemisphere and Power Generation grew 17% in Europe and about the same in Asia. Pall’s market diversity and global presence enable us to seize opportunities. We are now seeing the much anticipated slowdown in capital spending but not to the extent you might expect. While some customers seem to be sitting on purchase orders a little longer then usual, system orders actually increased over 16% in the quarter on top of a 27% increase in Q1. These capital orders are in the majority of markets where we normally sell systems. The energy related markets, municipal water, and food and beverage. The one notable exception is Biopharmaceuticals but this is on a very tough comp from a year ago when systems order increased over 90% and following a sustained period of investment particularly among Biotech companies. While we’ll gladly take an order for a system any day of the week, lower system sales do have a favorable margin impact. Customers are for the most part going ahead with committed capital projects and certain sectors like energy and water customers appear to be holding off on initiating new capital projects perhaps waiting to see what incentives any number of stimulus programs around the world may offer. These stimulus programs have the potential to benefit key Pall customers and Pall itself. New plants are still being announced or moving forward. Among them $7 billion for three US semiconductor FAB’s. These will reportedly recycle more chemicals, reclaim more waste water and have half of their power supplied from renewable sources. Five major biologics plants are being planned for Singapore considerably expanding projection and capacity in their region. Each one of these projects spells opportunity for us. While the timing of recovery is unknown we continue to see and pursue opportunities enabling technologies that Pall can apply to. We are taking timely, prudent measures to protect our company for the long term. I’ll talk more about that in a bit. With this I’d like to turn the call over to our CFO, Lisa McDermott, who deserves a great deal of credit for continuing to position our company to weather the economic downturn.
Lisa McDermott: I will now provide a brief review of the financial results for the quarter and the first half. The net earnings in the quarter were $38.9 million or $0.33 per share compared to $48 million or $0.39 per share last year. Earnings per share on a pro forma basis as defined on slide 22 were $0.38 per share compared to $0.46 per share a year ago. Net earnings in the six months were almost $82 million or $0.68 per share compared to $84.1 million or again $0.68 per share last year. Earnings per share on a pro forma basis as defined on the last slide were $0.78 per share compared to $0.82 per share a year ago. The estimated impact of foreign currency translation reduced earnings per share by $0.03 in both the quarter and the six months. Turning now to the details of our income statements which are on slides 14 and 15 I’ll start with the top of the income statement. Sales decreased 13% in the quarter and 5.5% in the six months. With the dollar strengthening substantially against the Euro, the British Pound and various Asian currencies compared to a year ago. Foreign currency translation reduced our top line by $38 million or about 6% in the quarter and $45 million or almost 4% in the six months. Excluding the impact of exchange rates sales were down 7% in the quarter and 2% in the six months. Overall in the quarter consumable sales were down about 8% and system sales decreased 4%. The mix of system sales to total sales was about 12% the same in both quarters. Consumable sales were hard hit in the micro electronics market which is almost entirely consumables and were down 35%. When we look at the rest of our consumable sales the results were a bit more favorable being down 3%. At the six month market consumable sales were down about 2% and system sales were flat. The mix of system sales to total sales was about 11% which was on par with last year. Clearly we are seeing the effects of the global economic crisis. However, we are fortunate that Pall’s market and geographic diversity enabled us to mitigate some of the impact. I will start by highlighting some of these bright spots and the dark spots within our major geographies starting first with the Western Hemisphere. The Western Hemisphere sales represent a third of our total sales and they were down about 4% in the quarter. Growth Pall Industrial of 3% was offset by a decline in Pall Life Sciences of about 11%. The decline in Life Sciences primarily relates to medical blood sales. We expect the Western Hemisphere blood filtration market to return to growth in the second half as loss of volume from certain large contract annualized enabling underlying growth to show through albeit a small part of the medical markets sales to hospitals of our other product offerings such as the Pall AquaSafe Water Filters, breathing circuit and IV filters turned in growth of over 10%. Our Cell Therapy activity doubled. The US administration change in stance on funding of stem cell research represents yet another opportunity for Pall. Biopharmaceutical sales declined 12% principally in system sales to pharmaceutical companies on the tough comparable to the second quarter of fiscal year ’08. During that time, system sales quadrupled in the Western Hemisphere. Pall Industrial’s growth was led by the Energy, Water and Process Technologies markets which were up 13% generated by 56.5% growth in sales in municipal water and a strong showing from food and beverage which was up 33%. Municipal Water is an example of a market that is more resilient in an economic downturn. Industrial manufacturing which serves a broad array of industries including general manufacturing, mining, steel, automotive, pulp and paper was down, solar power generation and fuels and chemicals principally on the capital side. The mid single digit growth in Aerospace and Transportation was generated by continued strong military sales related to the strengthening of EOM platform builds and the helicopter market. Weakness was seen in the commercial aerospace side with airlines taking more planes out of service. The micro electronics sales were down sharply in the Western Hemisphere and on a global basis on growing weakness in the semiconductor and consumer electronics markets related to global economic environment. The biggest impact is coming from the equipment makers, reduced ship production and reductions in the flat panel display market. Turning now to Europe which represents about 40% of total sales, these were down by 3% here with a 9% decline in Pall Industrial partly alleviated by growth in Life Sciences of about 4.5%. Within Pall Life Sciences the medical and biopharmaceuticals markets both turned in mid single digit growth. Looking at medical, sales of blood filtration products were flat, however, here again our cell therapy activities more then doubled and our OEM business turned in double digit growth. The growth in biopharmaceuticals reflects robust laboratory sales and sales to the pharmaceutical market were up mid single digit in both consumables and systems. Pall Industrial was down 9% in Europe on decreased sales in the Energy, Water and Process Technologies and micro electronics markets. The EWPT market was affected by the economy across the region. Sales in Food and Beverage the largest European submarket within EWPT were down 11% particularly impacted by the economy such as in Eastern Europe where lack of liquidity slowed sales to certain customers and elsewhere in Europe also affected sales to the high end wine market. Fuels and Chemicals and Industrial Manufacturing were also impacted by plant shut downs. Power Generation was a bright spot up 17% in sales and 80% in orders largely on the capital side. Sales in Aerospace and Transportation were flat with declined sales to the construction and truck industries within the Transportation market offset by strong sales in both commercial and military Aerospace sales. Turning now to Asia, sales in Asia were down overall after posting growth for 17 sequential quarters principally reflecting a decline in microelectronics the largest market we serve in Asia. Sales to most industrial markets were weak. Pockets of strength were Power Generation, Food and Beverage, and Transportation which each grew by double digits. Sales in Life Sciences grew in Asia by about 4% driven by consumable sales in the Biopharmaceuticals market reflecting the results of the company’s investment in headcount and infrastructure in this region. India and China turned in particularly strong growth in pharmaceuticals and Japan, the largest pharmaceutical market in Asia posted 7% growth. Segment operating margins in the quarter were 15.6% compared to 16.6% last year. Overall gross margins improved as Eric mentioned earlier 110 basis points to 47.2%. This improvement did not show through to operating margin with segment SG&A as a percentage of sales increasing to 28.4% from 26.6%. I will address the lining SG&A spend for the current business climate in a moment. First let’s look at gross margins. Both Life Sciences and Industrial had improved gross margins in the quarter. Pall Life Sciences gross margins improved by 160 basis points. The improvement in gross margins was principally driven by improved pricing that contributed approximately 70 basis points in margin. A shift in product mix to a lower percentage of systems with systems comprising approximately 5% of revenue compared to 7% in the same prior period and then a cost reduction program staving off inflationary pressures. In Pall Industrial gross margins improved by 50 basis points. The change in gross margin reflects here again, improved pricing which contributed 70 basis points. An improvement in systems margins more then offsetting the otherwise negative consumable systems in exchange and the effects of the ongoing cost reduction and lean manufacturing initiatives partially mitigating inflationary increases and the decline in overhead absorption from the reduced volumes. SG&A including corporate expenses decreased about 6%. Excluding the estimated impact of foreign exchange which reduced SG&A by about $11 million SG&A was flat compared to the second quarter of 2008 and reduced sequentially again as Eric mentioned earlier from quick actions taken as well as the result of decreased consulting expenses compared to the first quarter. In addition to the cost reduction initiatives we have been executing, we continue to adjust employment levels globally in response to economic conditions. Our restructuring and other costs in the quarter substantially reflect severance charges recorded for these actions taken thus far. The savings related to these plans will be increasingly felt in the second half of fiscal year 2009. We did take further measures to contain expenditures. Turning to income taxes on a full year basis the effective tax rate should be about 31.5% compared to 33.3% last year. The company’s effective tax rate was 31.3% in the quarter compared to 30.9% in the second quarter of 2008. We continue to focus on margin expansion by a pricing improvement initiative, systems gross margin improvement, institutionalizing a learning culture including the adoption of lean and continuous improvement principals in all that we do, and capital and tax strategies to reduce interest and tax costs. We continue to be very focused on the generation of free cash flow through initiatives to improve working capital and have also tightened our capital expenditure plan this year such that we now expect it to be about $135 million a reduction of about $25 million since last we spoke. Turning now to cash flows and liquidity, operating cash flow was about $62 million in the six months compared to a use of about $75 million in the same period of last year. Operating cash flow last year was negatively impacted by income tax payments, in particular the $135 million deposit to the US Federal Government, as well as increased estimated taxes. Excluding the tax deposit operating cash flow was up slightly offset by somewhat higher capital expenditures reducing our cash flow a bit period over period. While improving working capital management continues to be a challenge and a top priority. Our balance sheet and liquidity are solid. At quarter end our cash was in excess of $220 million and our availability under our revolving credit agreement was a syndication of 15 banks was also in excess of $220 million. These positions have not substantially changed through today and we continue to maintain our investment grade rating. Our debt positions are substantially all long term representing no imminent financing requirements. Our net debt to net debt plus equity increased in the quarter to $454 million or 31% from $394 million or 28% at the end of October and $322 million or 22% at year end. The increases are reflected in the use of our global cash position to acquire GeneSystems in France, buy back about two million shares at a cost of about $65 million and on capital expenditures of about $58 million as we continue to rationalize the facilities. We also paid down foreign outstandings on our revolving credit facility using excess cash offshore now earning very low interest rates to pay off the more expensive outstandings overseas with tax efficient into company financing. This, combined with reducing interest rates has resulted in a reduction of our interest expense by $3 million compared to the first quarter despite the increase in our net debt. Finally, last evening we announced that in light of the turbulent global economic environment we are not providing specific guidance on sales and earnings. As with today we remain committed to keeping the public informed of conditions and prospects for key markets, trends that affect the business and of our long term vision and strategy. Thank you for your attention this morning. With that I will hand this back to Eric.
Eric Krasnoff: Like everyone, we have been dealt a hand of cards that no one would have chosen with respect to the economy. Regardless, we’re going to play them to win. We have significant lean experience with parsing processing and building them back better. When the economy soured we accelerated the timeline on the major programs we were already executing on or planning to increase productivity and reduce costs. We also took additional measures to reduce costs. The actions contributed to a $13 million reduction in SG&A expenses and the 110 basis point improvement in gross margins in the quarter. Much of the credit for the SG&A reduction goes to our AmeriPall program now fast approaching its second anniversary and gaining momentum. We have also recently launched a EuroPall too. The intent of both of these programs is to enhance service to customers and to maximize efficiency. Like manufacturing improvement programs, initiatives under the AmeriPall umbrella rely heavily on lean principals. In the first half of this year alone our master black belts have run 177 Kaizen events, yes, 177. A comparable number of processes are planned for review this fiscal year. A major target of cost savings is non-bill of material purchasing. This is an excellent time to negotiate new contracts. Gross margin improvement has been a major focus for our manufacturing and systems engineering teams with ongoing activity to focus we should continue to see productivity increase and lower operating costs which will free up working capital. Over the same period that we are consolidating manufacturing locations we also reduced our warehouse and distribution locations from 62 to today 33. This is resulting in significant cost savings while improving service to customers. Finally, I want to mention our pricing excellence program which we kicked off at the beginning of this fiscal year. We have just completed the pilot phase of the program and are enthusiastic about the potential. The goal is to align pricing with delivered value as well as to improve transactional price performance. Many of the improvements will come from identifying and eliminating lower margin products, negotiating better commercial terms and conditions and implementing consistent pricing for both existing and new products. This program is giving us the opportunity to better define the value equation to the benefit of Pall and its customers. Customers will benefit from the more coherent global pricing policies and from our total fluid management commitment to their success. Fiscal year ’09 is a challenging year no question. Pall’s market diversity and strength across the globe can help mitigate the impact of the present global macro economy. As I hope is clear we have established a culture that maintains an effective and balance focus on the bottom line as on the top for the present and for the future. These efforts are intended to lessen the impact of the recession. We are continuing to focus on serving customers better then others in our field and by doing so we believe we can forge stronger relationships, earn more of our customers business and reward our shareholders. With the help of the conference operator we look forward to your questions.
Operator: (Operator Instructions) Your first question comes from Dan Leonard – First Analysis
Dan Leonard: I’d like to get some idea of how business exited the quarter, the rate of decline in business? To help there could you tell me how business was in January versus the rest of the quarter?
Eric Krasnoff: The January fall off year on year was higher then it was earlier in the quarter. Particularly I think we’re seeing companies who are on calendar years adjusting their CapEx spend for instance or re-jiggering their inventories. That’s the month we would have expected it to hit worse. It isn’t necessarily a trend issue so much as the timing related to larger customers.
Dan Leonard: Performance in January was better then the other two months of the quarter?
Eric Krasnoff: No, it was worse. I’m saying that we believe that’s particularly due to the fact that companies are generally on a calendar year basis and plan their budgets accordingly.
Dan Leonard: Do you think if business doesn’t improve do you think you would be able to generate free cash flow at current revenue levels?
Lisa McDermott: Assuming a somewhat steady state, contemplating the performance in the quarter, yes we will believe that we will generate free cash flow for the year.
Operator: Your next question comes from Jeff Zekauskas – JP Morgan
Jeff Zekauskas: Do you regard your electronics business as having an unrepresentatively weak quarter or do you think that this is sort of the run rate for the next few months or it’s just very difficult to tell? This is not against the strongest comparison in the world.
Eric Krasnoff: If we look at spending overall for the whole industry and look at the 2001-2002 downturn which is the last big one, spending was about 53%. Right now for 2008-2009 that total spending is down about 56%. We’re pretty much at the APEX if we can use any history as a guide. We have seen an increase in the price our customers are getting for their chips which is positive. We just don’t have the visibility. Our sales are based upon the production levels of our customers. They clearly worked down inventory so to the extent that production levels do not decline further and that companies like Intel was one of the major ones do go ahead and take this opportunity to build new plants. Hopefully we’re at the end.
Jeff Zekauskas: You’ve talked about some of the inventory reductions that are going on in your healthcare end markets. Can you talk about some of the cyclical aspects of Biopharmaceuticals? I realize that you are up against a tough comparison in Biopharmaceutical area and there’s some inventory reduction. Can you talk about how you see your run rate local currency volume growth now exclusive of these inventory changes and how the operating environment for biopharmaceuticals now compares to what it was a year ago?
Eric Krasnoff: The base business for our customers the basic production levels have not significantly declined. The reduction in replacement cartridge business that we attribute to inventory changes and that’s what our customers are telling us as well that obviously is not sustainable. We do expect to see a pickup in the second half of the year in the base business. As far as systems goes, systems in Pharmaceutical or Life Science are only about 8% of our total systems business. It’s not that significant a number but we’re still seeing some customers ordering systems. I don’t think that we expect cyclicality in this marketplace. I think we expect to return to a steady growth which will probably be mid single digits for the rest of this fiscal year and then should accelerate back to our more historical levels next year.
Jeff Zekauskas: Your Military business in Aerospace was relatively strong but it seems that Military spending may be more peaking now. Is that the way you see it or can you see strength in your Military business over the next several quarters?
Eric Krasnoff: It wasn’t relatively strong it was very strong. We’re expecting it to be double digit the rest of this year as well. For next year we don’t see peace breaking out in the world anytime soon unfortunately so while I think Military sales will probably be less next year that’s only based on less growth its only based on the assumption that we don’t get major unexpected jobs in and this year we did, we got some big helicopter jobs particularly outfitting helicopters for operating in desert environments. That’s both with the US Military and with foreign militaries as well.
Operator: Your next question comes from Brian Drab – William Blair
Brian Drab: Over the last couple quarters I think you’ve indicated that you didn’t expect micro electronics to take as much of a hit on this downturn as it had in previous downturns. I’m wondering if we could dig a little deeper into the business and talk about anything that surprised you in the quarter and any niches within micro electronics that were surprising.
Eric Krasnoff: We were absolutely wrong. We thought that consumer electronics would hold up better since this is in many ways a consumer led recession that segment of the business was also affected. We do have some pockets of strength such as solar cells but even there, because that’s a capital item, sales were lower over the last couple of quarters then we would have expected.
Brian Drab: Could you give us what price was in terms of a benefit on a percentage basis to the top line in the two segments?
Lisa McDermott: In both segments it was slightly over 1%.
Operator: Your next question comes from Rob Mason – Robert W. Baird
Rob Mason: You gave the systems orders growth rate, how did system sales grow in the quarter?
Lisa McDermott: System sales overall in the quarter were down about 4%. Orders were up as Eric mentioned.
Rob Mason: Can I infer from the differential and growth rates that the book to bill was over one then?
Lisa McDermott: The book to bill in systems was over one, it was about 1.1. The book to bill was over one in consumables as well.
Rob Mason: Have you seen any notable cancellations or push outs on the systems side within your backlog?
Eric Krasnoff: Nothing that would be industry concentrated. We’ve seen basically most jobs that were committed are proceeding. We’ve seen some, as I mentioned before, customers holding off on orders we expected, particularly looking for greater clarification on [inaudible] rebates related to many of the government infrastructure programs around the world.
Rob Mason: Given that you do have some visibility there with that backlog you would still expect growth for the full year in your systems business?
Eric Krasnoff: Yes, certainly on the industrial side which is over 90% of the business.
Rob Mason: Could you update your latest guidance for currency impact for the full year? I realize you’re not giving full year guidance but just on the currency aspect.
Lisa McDermott: Based upon where currencies are, and I recognize that the dollar has weakened a bit over the last couple of days against the major currencies, but excluding that little blip we could be looking at for full year currency to reduce the top line to the tune of about 8%.
Operator: Your next question comes from Antonio Antezano - Macquarie Capital
Antonio Antezano: In terms of your guidance or your decision not to provide guidance for this fiscal year, in what sector do you see less visibility and what others you see more visibility because you mentioned in your prepared remarks that in some areas you still see growth opportunities and have a positive outlook and some others not. Your decision not to provide guidance I was wondering what is driving that beyond macro uncertainty probably more specific in terms what is it you see less visibility.
Eric Krasnoff: The impetus for us not providing guidance is that the macro economic situation is in flux, currencies are in flux, as are too many variables for us to feel comfortable providing that kind of specific guidance. We do want to and will provide on a market by market basis what we see the conditions and how they affect us. Answering the second part of your question we believe that the Life Sciences as a whole will be stable in the second half of the year. Aerospace again we think is going to have a consistent second half of the year. Energy, Water and Process Technologies very systems dependent and parts of those businesses, we think the base business is going to come back as people begin to reorder inventory levels that have gone down. Whether systems continue to be strong or not we’re not sure, we don’t have that visibility. The greatest unknown is micro electronics. As I mentioned before we exceeded the worst of any prior downturn in this industry and while many analysts out there who focus full time on the micro electronics market believe that a recovery is at hand. We are not an early indicator of that so we’ll find out when the rest of us find out. I hope that provides a little help.
Operator: At this time there are not further questions. I would like to turn the call back over to management for closing remarks.
Eric Krasnoff: I appreciate all of your participation this morning and your questions. Please put June 8th and 9th on the calendar when we will release our Q3 numbers. June 8th after the market closes and the conference call of course the following morning. We look forward to reporting our results at that time.
Operator: This concludes today’s conference call. You may now disconnect. 